Operator: Greetings. Welcome Esports Technologies First Quarter 2022 Earnings Conference Call. At this time, all participants aer in a listen-only mode. A question-and-answer session will follow the formal presentation. [Operator instructions] During the course of this call, statements made that are not statements of historical facts constitute forward-looking statements to risks, uncertainties and other factors that could cause our actual results to differ materially from those contemplated in these forward-looking statements. Forward-looking statements are based on management's current assumptions, expectations of future events and trends, which may affect Esports Technologies' business, strategy, operations or financial performance. Existing and perspective investors are cautioned not to place undue reliance on these forward-looking statements, which speaks only of today's date. For more information, please refer to the risks and uncertainties and other factors discussed in Esports Technologies, SEC filings particularly its Form 10-K for the year ended September 2021. All cautionary statements that we make during this call are applicable to any forward-looking statements that we make whenever they appear. You should carefully consider the risks, uncertainties and other factors discussed in Esports Technologies SEC filings. Esports Technologies undertakes no obligation to update any estimates, projections or forward-looking statements. Please note that this conference is being recorded. I'll now turn the conference over to Aaron Speach, Founder and CEO. Thank you. You may begin.
Aaron Speach: Good morning, everyone and welcome. We're very pleased with what we've accomplished during our first quarter of 2022, as we have taken significant strides in achieving our goal of being the leader in Esports wagering and technology. Our vision is to provide unique wagering experiences to the 550 million underserved Esports fans from around the world. During Q1 2022, we took significant strides towards our vision. We completed a transformative acquisition of five online casino and sports book brands with 1.25 million deposited customers with a majority of them under the age of 35. Of the top 15 wagering markets, Europe has 12. With this acquisition, we now have market access to many of these European markets. Access to Tier 1 regulated markets, including the United Kingdom, Germany, Ireland and Denmark. Our future Esports products will have audience of over 200 million people in the European markets. Our acquisition integration is going better than anticipated. The performance of the assets are on target and our key acquisition integration goals are going extremely well. We have consolidated all of our products on to a single platform. This will allow us to be efficient as we launch Gogawi into Asia, Latin America and CIS countries. Key post acquisition targets, including employee migration are being hit and/or exceeded. We are diversifying our revenue by expanding into Latin America and Asia, along with the European businesses that we just acquired. We are in track to launch our Esports product in Calendar 2022, including Esports Book, which will be our regulated sports betting product with a focus on Esports throughout Europe and other regulated markets that we have access to and Browser Bets, which is our unique browser extension that will allow a consumer to bet directly in the video stream that they're watching. We're excited that both of those products are on track for Q2 of this calendar year. We continue to make progress to patent our technologies and innovations. We have submitted five patent applications in the US over the last 12 months. While these are all pending review, it is a key that we obtained patent approval on our technology innovations. We recently just opened our offices in Malta and are happy to say that all of the employees from the acquired brands are successfully moved in. We drove $7.1 million in revenue with most of that coming in December from the newly acquired brands, an increased cash position to $11.8 million up $2.8 million from the year end. We were very excited to release a 10-month projected earning of $70 million for fiscal year ending September 30. And with that, I'll hand it over to Jim.
Jim Purcell: Thank you, Aaron and good morning, everyone. I just want to remind everyone the discussion of our results for Q1 2022 will be relatively brief as our results only include one month activity of the recent acquisition, which was only completed at the end of November. Given the transformational aspect of this acquisition, comparison to the prior periods are not particularly meaningful given its size and scale. So we'll only be talking about the current quarter's results. I feel we now have a business of scale, which should be a platform to leverage our future growth. To reiterate what Aaron said, we are pleased to announce that in our Q1 2022, we generated $7.1 million of revenue and over $2.5 million gross margin for the quarter. While substantially all of this revenue was from the recent acquisition, we will be continuing to build and develop our Esports products and extend our reach. We're also happy with our proposed acquisition results as we're operating the business to what we expected and within plan. This execution gives us confidence that we'll achieve our state goal of $70 million for our fiscal 2022. And again, to remind everyone, our fiscal year end September 30, 2022, so that will include only 10 months of our post-second activity. Looking at other aspects of our business, we ended the quarter with $11.8 million cash up $2.7 million from the year ended of September 30, 2021. We continue to invest in the growth of our business. Adjusted EBITDA for the quarter was negative $3.9 million. Our adjusted EBITDA is calculated by starting with our loss from operation of $7.8 million and adjusting for acquisition costs of $2.2 million, non-cash stock compensation costs of $1.4 million and depreciation and amortization of approximately $300,000. Our net cash used in operating activities was $3.0 million. We expect to continue to invest in our Esports business and products as we expand the geographical reach of I-gaming [ph] sports book and Esports business throughout fiscal 2022. During Q4, we completed the finance of our acquisition, which raised over $67.7 million. This was used to pay the acquisition price of €50 million as well as the acquisition cost. So we've taken significant strides in the current quarter. And with that, I hand it back over to Aaron.
Aaron Speach: Thank you, Jim. And thank you all for tuning in. I'd like to now open it up to the analyst for a Q&A. Operator?
Operator: [Operator instructions] Our first question is from Chris Pierce with Needham & Company. Please proceed.
Chris Pierce: Hey Aaron. Good morning. One clarification question, just in the press release and you mentioned it, single platform. Can you just kind of go a little deeper on what you mean there, because I know there was a number of brands in the acquisition and now Gogawi just kind of the platform you guys had prior? So just kind of -- is that when you say single platform, is that something internally on your end that's not on the customer facing side, that's a migration that you did. Can you just kind of clarify that first?
Aaron Speach: Yeah, absolutely. What that means is we actually moved our four original brand Gogawi from a previous provider on to the aspire BTO [ph] bet brand. So that way that we have all of our brands under one platform provider. The reason why we this is, it creates huge operational benefits to having the same CRM systems under one roof and it's extremely useful for us on the loyalty side to keep everything synced up through all of the brands that we acquired plus Gogawi, plus the new brands that we plan on launching in 2022.
Chris Pierce: Got it. Perfect. And then just kind of thinking about the business that you acquired, the trailing 12 month revenue and then the pre-announcement and the kind of the reiteration tonight, it looks like a higher monthly run rate. Can you kind of talk through short term how you've been able to drive those revenues higher and then what you're thinking on the medium and longer term as well?
Aaron Speach: Yeah, absolutely. So one of the main reasons why Aspire felt that they wanted to sell the brands is because they weren't giving them the attention that they deserved. Now that the brands are in dedicated resources that are putting their full force and attention into those B2C products, we're able to optimize a lot of the marketing efforts and tailor a lot of the affiliate deals. So that way we can drive revenue, and not to say that Aspire, wasn't doing a good job before, the products were growing healthy assets, and that's the reason why we purchased them. But we always felt that we were going to be able to improve a lot upon what Aspire built originally.
Chris Pierce: Got it. And then, so that's kind of the eye gaming, kind of the legacy piece of the things. Can you talk about how you can hope to penetrate these customers with Esports and that's it for me?
Aaron Speach: Yeah. So, first for a wagering platform, it's always better to have a younger customer base. This is because you have a far longer consumer lifespan and they're far cheaper to acquire. Sports wager customers are very loyal to their platforms when you treat them well. So once you have a product, they love, it's from a sports wagering product can be extremely low with a great loyalty program. And even more important than that, it has been found in a recent study out of the UK that Gen Z and Millennials are 4.3 times more likely to wage on Esports and 4.5 times more likely to bet on eye gaining and casino product. In the demand for Esports entertainment product and betting offering is also anticipated to rise as 37% of UK adults that they expect to watch Esports in the future, more than twice the current 15% who do so now. This is according to a survey of 20,000 adults across 16 markets in the UK. Keep in mind, there are already 550 million fans of Esports globally, and we are here to build products for that audience by developing odds and models, that is fair to the consumer, a modern UI UX that gives them the site they're comfortable with and technologies that allow them to bet where they watch the sports they love.
Chris Pierce: Got it. And then just, I guess one more clarification, if I can slip it in, you talked about calendar 2022, the two new products, the Esports book in Europe and the Browser Beds ES Sports that's the odds tightening, the technology you've kind of invested in to drive the lower odds for consumers. Is that -- am I thinking about that correctly?
Aaron Speach: No, actually the odds and modeling product is going to be launched in the first quarter of this year. We hope to have that out very quickly. Esports book is actually full scale sports book dedicated to Esports consumers, but people that also want to play on traditional sports book as well, focused towards Gen Z and Millennials, but we're able to launch that product through regulated markets like the UK and Germany, whereas Gogawi is more focused on countries like the Philippines, Brazil and Thailand.
Chris Pierce: Perfect. Thanks for clarifying. I appreciate the answers to the questions. Good luck.
Aaron Speach: Thank you, Chris
Operator: There are no further questions from analysts. I will now turn the call over to management for closing remarks.
Aaron Speach: That's all. Thank you for everybody, who could join today? We were really excited to share these results with you, and we look forward to talking to you guys next quarter. Thank you everybody.
Operator: Thank you. This does conclude today's conference. You may disconnect your lines at this time and thank you for your participation.